Fiona Lay Mui Lee: Hi, everyone. So welcome to the 3Q results call. You've heard the media, so we'll go straight to Q&A. [Operator Instructions]
Fiona Lay Mui Lee: [Operator Instructions] So first question from Jayden from Macquarie.
Jayden Vantarakis: Can you hear me okay?
Fiona Lay Mui Lee: Yes.
Jayden Vantarakis: Great. I appreciate it. A couple of questions. Media call, you were fairly upbeat, Su Shan, I think on the outlook for demand for loans. Just any thoughts on sort of what's changed versus prior quarters? Any commentary you can give us in terms of industry or geography. My second question is on the NIM and the sensitivity. Can you provide us with any sort of updates as last quarter, you gave us very helpful sensitivity on how the NIM would perform with respect to various base rates. Those are the 2 questions I wanted to ask.
Tan Shan: Okay. So let me walk you through the non-trade loan growth expectations. Like this year, we're looking at nontrade loans to grow in the mid-single digits next year. And structural growth, you see it in tech data centers, et cetera. So TMT will remain strong. Real estate, there's quite a lot of government-led sales still in Singapore. There's quite a lot of big government projects as well here. And so the public sector and I guess, real estate in selected cities, Singapore, possibly Australia, London, we will see some good momentum. And alongside -- I talked about TMT, alongside the whole GenAI adoption as well, we're seeing some structural growth there. In energy, although there seemed to be, at least from the headlines a rollback in renewables, actually, we are seeing in Asia still a lot of deal flow, M&A buyouts and transactions in the renewable space. And as rates come down, I think the LBO market will come back, and that should also see some growth there. In food and agri as well, you're looking at sort of inventory financing for some of the big guys as well. Housing loans, mortgages, we also had -- we had a good Q3 this quarter on new launches. So that should filter in next year. And also, I think for wealth, as rates come down, there should also be some of these wealth loan growth as well. Do you want to add anything, Kwee Juan? Kwee Juan is our Head of Corporate and Institutional Banking.
Kwee Juan Han: No, I think it's largely in that area. The TMT ERI areas for us next year looking at pipeline.
Tan Shan: Okay. Then you want to talk about the NIM sensitivity, right? So we have net floating assets of about 11 -- sorry, $110 billion. So if rates come down by every 1 basis point, we will lose $11 billion there. And then we have $160 billion of net floating assets -- sorry, the other way around. We have $110 billion of net -- oh, sorry, sorry, sorry. We have $160 billion of net floating assets. So for every 1 basis point drop, we will lose $16 million, this is for next year. And we have $50 billion net floating liabilities. So for every 1 basis point, we will lose $5 million. So plus -- so 16 -- so it's minus $16 million plus $5 million. Sorry, for this year -- I didn't tell you for this year, right? So for this year, it's $120 billion net floating assets and $50 billion net floating liabilities. So it's plus [ $12 million ], minus [ $5 million ]. So [ $12 million ], yes.
Operator: Next question is from Yong Hong from Citi.
Yong Hong Tan: I have 3 questions. The first question is on deposits, a strong growth quarter-on-quarter and year-on-year. Just wondering where the source of money is coming from? And if they are corporate or are they consumer monies or these are -- both of these are also driver? And a follow-up to that is, given that we are in a position of excess liquidity, what are your thoughts of managing down cost of funding more aggressively, maybe even lower than the 1% Sing dollar  FD rates that we are seeing. I have 2 more questions after this.
Tan Shan: Okay. So the deposit growth was actually quite wide. We had from the retail side, quite a lot also because the treasury bills matured and they came back. We had SME deposit loan growth. We had wealth loan growth. We had corporates as well with a fair amount of -- so it was quite widely spread and across Sing and foreign currencies. So also helped, I guess, in Singapore, we have the CDC vouchers, right? So people were spending a little bit less in Singapore. So that also meant some more sing dollar CASA retention as well.
Yong Hong Tan: Yes. And given the position of excess equity, any thoughts of managing down your cost of funding more aggressively, maybe even lower than the 1% Sing dollar FD rates that we are seeing right now.
Philip Fernandez: Yes. This is Phil here, Corporate Treasurer. So if you look at our deposit margins, they are basically above 1%. So we don't have any need to cut back on deposits. In fact, this is a very good deployment for us. As all the wealth deposits come in, the GTS deposits come in, we can put it to work, and we can make a very good margin on that.
Tan Shan: Yes. Because what the treasurer -- we are always open for deposits, right? The fact is philosophically, you must always bring in deposits, and we can always reinvest and HQLA is a good high ROE, decent NIM spread.
Yong Hong Tan: Yes. No, maybe the context of my question is given the deposits growth is so strong, I don't think they are coming in for that 1% kind of deposits rate. So based on that your deposits coming in, do you see any room to manage down your cost of funds, especially if you think that the deposits coming in are not going after the rates?
Tan Shan: The rates are very low, right?
Philip Fernandez: Yes. No, we actually make sure that we always have a positive deployment margin on all our deposits. So if you look at our FD rates versus MAS bills, for example, we would always make a spread on that. Now the NIM might get diluted because the marginal deposits versus the marginal deployment will be less than our current average NIM. So you get a NIM dilution, but it's ROE accretive and it's NI accretive.
Yong Hong Tan: Yes. Yes, I understand.
Tan Shan: Deposit cost is already down 20 bps Q-on-Q.
Yong Hong Tan: Okay. Okay. Got it. And maybe just moving on to AUM. Any breakdown on the net new money and the market impact? And any color on where this net new money is coming from, how sustainable that is and whether that is a result of natural flows into Singapore? Or is there something that we have done in recent years that is yielding results?
Tan Shan: Okay. So when we talked about the net new money, that was only at the high end, but we should include -- if you include treasures and above, then the growth was actually stronger. So for the total wealth stack, which is treasures, TPC and PB, AUM grew 7% (sic) [  6%  ] quarter-on-quarter, 18% year-on-year to $474 million. That's really across the board. As we said earlier on, we have wealth centers in pretty much most of our core markets, right? So Singapore, Hong Kong being the 2 big onshore/offshore hub. China, we have a new wealth hub as well. India, where we're also trying to focus now more on wealth. Taiwan, after we bought Citi, it's a strong mature wealth business in Taiwan. And Indonesia, onshore wealth also is growing. So it's across the board. But Hong Kong is seeing very good flows from Greater China, Hong Kong area. And China onshore is also seeing very good flows because I think we were not involved in the whole trust debacle in the last few years. So we have a good reputation there. We talked about the need for insurance and life planning by the Chinese -- Mainland Chinese. We talked about Stock Connect. We're able to give them good wealth management products and solutions, SIPs, et cetera. So there's good organic growth there. Su Koon is here, he can weigh in.
Shee Tse Koon: Yes. I think just in line with what Su Shan has said, generally, the wealth growth has been very robust and very well spread, right? So first thing, we benefited from the fact that -- and we continue to benefit from the fact that we have a full wealth continuum. In other words, we are able to bank customers whether from their first 1,000 to their first 100,000 to their first million, even to those with billions with us. So I think we are one of the few that have the full continuum of wealth from private bank ultra-high net worth to those kind of almost emerging to private bank right into the affluent, even right into the retail wealth. We have also been able to connect internationally very well. So customers who use us to manage their wealth, both onshore and offshore, right? And our wealth management customers come from more than 120 nationalities. So being anchored in Asia with 2 booking centers in Singapore and Hong Kong, that's been very, very strong. Our full suite of products and services, some of which Su Shan has alluded to, is very, very comprehensive. So these have actually been a key contributor to how we have been able to deepen and broaden our wealth franchise.
Yong Hong Tan: And my final question is on dividends. The $0.15 extra quarterly dividends per year. I think based on the latest guidance, that will expire by year-end. And the guidance is that a similar quantum would be.
Tan Shan: No, no, no. Sorry. That's not correct. So who is that?
Soh Kian Tiong: Yong Hong, you're referring 15 -- the capital return dividend. So the capital return distribution we talked about lasting for 3 years until the end of 2027. So the $0.15 that amount is per quarter goes on until the end of 2027.
Yong Hong Tan: Okay. Okay. I think previously -- originally it was a similar quantum.
Tan Shan: We said it was $8 billion, $3 billion for share buyback, $5 billion for 3 years of the $0.15 step-up. So $0.15 times 4 or $0.60, $0.60 times 2.84 is $1.7, right? So $1.7x 3 years is 5.1. So that $5 billion goes is returned over 3 years.
Yong Hong Tan: Okay. Good that this is of...
Sok Hui Chng: Ordinary dividend is a different category from capital return dividend. So don't be confused.
Yong Hong Tan: Yes, clear on that. Yes. Okay. No, I was just wondering whether this $0.15 could be returned in a different form, but I think that is clear from Su Shan. And on buyback, if the share price continues to be quite strong, can we be flexible to allocate the capital for buyback to do something else? Or that should be reserved for a certain period of market downturn?
Sok Hui Chng: I think we always assess the opportunity, and we said we'll do over 2 to 3 years. So if by the end of 3 years, we have not fully bought back the shares, we could always think of other ways to return the capital.
Yong Hong Tan: Okay. Got it. And I think -- and the general mechanism is that should not exit the trailing 30-day [indiscernible] or something of the buyback. Is there any general or just not disclosed before? No. We just said we'd be opportunistic.
Operator: Thanks. Next question from Harsh from JPMorgan.
Harsh Modi: Got few more questions on the payout and buyback. So how do you see the trade-off between a program buyback that every day, irrespective of price at VWAP or something, you do consistent buyback versus trying to be opportunistic. So what has been the discussions? And how do you see -- what I'm trying to get to is, is there a possibility to move to a program buyback? Or do we stay with the current stance?
Sok Hui Chng: So we are not in the camp of doing program buyback every day, whatever the price, but we do have an alignment on how we'll go about doing it. We look at standard deviation of the price, and it's a bit higher, more than one standard deviation over a period, then we'll do less. If it's like much lower, we'll do a lot more. So I think we calibrated it that way internally, and that's how we have been running this program.
Harsh Modi: Sorry, I got muted. Yes. But then the problem with doing a buyback in an opportunistic basis is the daily trading volumes. During down days, can the buyback amount be half of the daily trading volumes. Otherwise...
Sok Hui Chng: We also have an internal rule that in general, we will not exceed 10% of the daily turnover on the exchange.
Harsh Modi: Exactly. If that's the case, then if the weakness lasts for, let's say, 3, 4, 5 days, then you can't use up this entire amount if you are just opportunistic.
Sok Hui Chng: But we have 3 years, right?
Harsh Modi: Yes. But it is still -- again, if I look at the YTD performance and if the stock continues to do well, which we all hope it does, then there is this question on can you really use that buyback. So either you have to tweak that rule of 10% that during down days, you can go as high as 30%, 40%, 50% of volumes, if need be, or you need to do program buyback. Otherwise, this buyback amount becomes a bit question mark.
Tan Shan: We'll take that back. I think we have been discussing this at the Board level. And this whole VWAP program buying, every investment bank wants to do that because our stock is liquid, right? God knows what they do with it behind the scene, right? So I think it's just a bit more prudent that we have -- we keep the option to exercise more discretion on coming in on bad days because the market will be volatile next year, right? And we want to be able to have that flexibility.
Harsh Modi: And I understand that, Su Shan.
Tan Shan: We hear you on the 10%  and we'll take it away.
Harsh Modi: The risk if things become -- remain too good. And second question on NIM. Thanks for a very detailed guidance on your assumptions on rate cuts, fee rate cuts, flat SORA sing dollar appreciation makes sense. But let's say, if out of blue, if we end up getting, let's say, USD rally in that case, some of these assumptions on the SORA pass-through and sing dollar appreciation may not materialize. So how are you looking at adjusting your hedging strategy in that scenario? And what are the various pros and cons if that ends up happening?
Tan Shan: So your question is, just so I get it right, the Sing does not appreciate, it depreciates instead of appreciates, right?
Harsh Modi: Yes. And that may be just because dollar goes up, right? Because this year dollar was down massively. Yes.
Tan Shan: Okay. Okay. And U.S. rates.
Harsh Modi: Still same, let's say, rate cuts because the dollar depreciation this year was largely due to risk premium increase, right? And for whatever reason, the risk premium dollar decreases despite the rate cut, we end up getting dollar value, which we are starting to get now. Dollar is up 3%, 4% from the lows. So that's the question that in case of an outcome, which is different from your base case assumption, how do we think about impact on NIM? And how is the bank preparing for that eventuality?
Tan Shan: A weak Sing is always good for us when we report because we have a fair amount of U.S. dollar income and Hong Kong dollar income and non-Sing income. So honestly, a weaker Sing is not a bad thing for us at all, in  fact we like it. And so you're thinking -- in the past, when you have a weak Sing, you actually have higher Sing rates because of the forwards, right? That seems to have broken down now, Harsh. So we've taken to checking the MAS bills as a guidance on Sing rates because SORA overnight SORA is also too volatile, very hard to predict, right, up and down 40%, sometimes overnight. So it's very hard to use that as a gauge of the real cost of money in Singapore. So we use the MAS bills instead. And so if you think the Sing dollar depreciates, I don't think Sing rates can collapse, right? So it should, if anything, go up from here. So then if you have higher Sing dollar rates and lowering Sing that's both a double tailwind for us.
Harsh Modi: Right. So net-net.
Tan Shan: I hope, that comes true. I think we are forecasting the reverse.
Harsh Modi: No, that 100% agree. So that's on your commercial book, you'll make more money maker than SORA kind of stays steady and Sing dollar depreciates, so translation gains get. And -- but then is there any risk on the hedging book that we should worry about? Or it is basically wash either direction?
Tan Shan: There shouldn't be any risk on our hedging book because we put -- it's a dynamic book, right? We put it on every year, things roll off, things get put on. We haven't really been able to put on quite a lot yet because the yield curve is not in our favor. So it's a dynamic hedge. So we'll see next year, if what you say comes true, we might hedge more, right?
Sok Hui Chng: And I think we have shifted a lot of the hedging more to U.S. dollars because Sing dollars are not attractive to hedge at these levels. So as they roll off, our hedges have been more in the U.S. dollar category.
Harsh Modi: Right. And sorry, the last question on this is the hedges rolling over. So basically, you have a very good track record of being able to replenish those hedges which are rolling over. So we should assume something similar going forward? Is that what's baked in your guidance for NIM and NII next year that the bank will be able to catch these waves quite well over the next 3, 4 quarters? Or the -- or have you lengthened the hedge duration so that you have visibility.
Tan Shan: Okay. So Harsh, next year, we have $78 billion of fixed rate asset maturities. The maturing rate was 3.3%. And we are looking to do 2/3 of that to be replaced.
Harsh Modi: Got it. Yes, if I may ask just one last question. This is on wealth management. Net new money growth this year, if you could give some granular details on which countries residents, is it more North Asia? Is it more South Asia? Any particular market, that will be very useful.
Shee Tse Koon: Thanks for the question. This is Koon here. Our net new money has been very, very strong. I think it has been for the last couple of years. And actually, as we dive deeper in, it's actually very, very broad-based. It's across various markets. So just as an indication, the private banking customer base comes from more than 120 nationalities, right? So we have 2 booking centers in Hong Kong and in Singapore, we're agnostic. It depends on where the customers choose to book. Some of them have bookings in both, but they are very, very broad-based, right? We have customers from Southeast Asia, of course, being here in this part of the world. We have customers from Northeast Asia. We have customers from South Asia. We have customers from the Middle East, we have customers from Europe, both Western and Eastern Europe. So very, very broad based.
Harsh Modi: But this year, has there been any particular market which has seen a faster pickup in net new money growth compared to, let's say, last year?
Shee Tse Koon: No. Not -- I can't single out any market in particular. And at the same time, just also to elaborate a little bit further. Our net new money, the growth has been very, very robust through the entire wealth continuum, that has got both the private banking clients, the high net worth and ultra-high net worth as well as in our segment we call Treasures, which is the affluent customer base. And it's the same trend we've seen. It's very, very broad-based.
Operator: Next question from Aakash from UBS.
Aakash Rawat: Can you hear me now?
Operator: Yes.
Aakash Rawat: This is Aakash from UBS. The first question is just on the NIM decline this quarter. I wanted to understand a bit better. Because in July, the exit NIM was 1.95% and -- so which was already down 10 basis points from the previous quarter average level, right? And then after July, we had 4% deposit growth, which were parked into HQLA, which are NIM dilutive. And loan growth was much smaller. So a majority of it went into HQLA. And then we also had further SORA declines, SORA overnight rate declines in August and September. How did none of these -- any of these affect the NIM? How did NIM stay at 1.96% for the whole quarter? That's the first question.
Tan Shan: Okay. Because -- so you're looking at the quarter, why did it stay so flat when SORA overnight went down so much, right?
Aakash Rawat: Yes. And HQLA as well, Su Shan, because HQLA would be NIM dilutive.
Tan Shan: Okay. So 2 main reasons. The first is the group NIM declined less than the commercial book NIM because the market trading book because of the lower accounting asymmetry, our cost of funds also was lower. There was some cushion back from that. And there was also a rebound in HIBOR as well. So that also helped the overall NIM for Q3. And there was also IRS and fixed rate asset deployment as well, which was about 1/3 of the commercial book assets. Do you want to add anything, Sok Hui?
Sok Hui Chng: I think you're right. Your observation is right. So I think with the commercial book, we gave you guidance last round, right, that in July, it will be about 1.95% and we have been able to hold it. And that's partly reflecting that market trading has also helped to cushion the pressure.
Aakash Rawat: Okay. Okay. Got it. Then the second one is I also wanted to understand the hedges a little bit better because I think your NII guidance for next year, which is slightly down -- if -- I think people expect that if hedges are going to roll off next year, this guidance does look a bit more optimistic. So to have a high level of confidence, I think if you can share more details on the hedging book, the IRS swaps that you have, right? Because we only see annual numbers. So we know it was  [indiscernible] (025:42) 59 billion at the end of 2024. What is that number today? And what is the breakup between the different tenures? And how much of it is expiring next year? If you can share that information, I think that will be very helpful.
Philip Fernandez: Okay. Aakash, this is Phil, Corporate Treasurer. So I'll just give you a couple of data points. So we've got about -- we don't look at IRS and bonds separately. When we talk about the hedges, we're talking about both the funded and the unfunded hedges collectively. So when we've given you that $200 billion of assets -- fixed rate assets, that's the totality across bonds IRS, right? So that number is about there still. So of that, about $78 billion rolls off next year. And we actually have assumed and it's consistent with the assumption Su Shan just gave that we're probably going to redeploy that at about 50 basis points lower than the maturing yield that those particular assets have. So it's built into the forecast, and it's all consistent with all the guidance that Su Shan has rearticulated.
Aakash Rawat: So This $78 billion is primarily the fixed rate mortgage book? Or is it the IRS swap?
Philip Fernandez: It's a mixture. It's the IRS. It's got the mortgages because remember, mortgages in Singapore are not long dated, unlike, say, in the U.S., right? In the U.S., you take long-dated mortgages and you sit on it. In Singapore, typically, it's 2 years. So the average weighted life of a mortgage is actually only 1 year, if you think about it, right? So the mortgage book does roll off. The IRSs do roll off. But the numbers I've given you incorporate all those effects roll together.
Sok Hui Chng: So you should think about the NII as having a few components, right? Floating rates will also come off. Fixed rate hedges will also come off, but we will also benefit from the deposit volumes that we have told you about all the deposits that come in, we can deploy at slightly more than 1%, and that's going to cushion the effects of the lower rates. And I think if you look at the treasury book, I think the funding cost will go down quite a bit with the rate cuts. So that's another relief from the headwinds in the commercial book. So net-net, as a package when we say slightly down, we're not saying like a little -- I mean it's like point something like [ $0.2 billion ], $0.3 billion, $0.4 billion down, that kind of number.
Aakash Rawat: Okay. Understood. The third question is just on broadly liquidity. And Su Shan, I heard your interview with Nicolas on the podcast yesterday, very interesting, very inspiring. I think one of the comments that you made was liquidity in general has helped financial assets everywhere, right? Now some of that liquidity also found its way to Singapore and must have helped with the wealth management net new money that DBS has seen. I just wanted to get your thoughts on how do you think about this inflow? What part of it is cyclical? What part of it is structural? Would you extrapolate this net new money strength into the coming years? Or do you think maybe it can normalize this pace of net new money that you've been seeing?
Tan Shan: Well, I look at M2 and I look at the market cap of different markets, and I try to find where when the money flows might go next. And it's interesting because Hong Kong, China have been very strong performing indices this year, but a lot of the U.S. flows have stayed in the U.S. and the money -- the wealth creation has stayed primarily in the U.S., right? When you think about the U.S., it is now 70% of the world's global capital markets, it's very concentrated. So the wealth creation and the wealth effect in the U.S. is very real. Money supply and the banking deregulation in the U.S. is going to be helpful. And so yes, I see liquidity remaining strong. Do I see it coming to Asia? I see liquidity certainly in China and Hong Kong because China rates are so low. No one's buying real estate. So the money is going to go somewhere. And then that's why you see very strong growth in things like banker, insurance, life policies and as people get more and more sophisticated as well. And people are starting younger, right? You have the Robin Hood phenomenon where younger people in their 20s, early 30s starting to invest as well, which is why we're building this digital wealth for retail as an offshoot of our current more mature wealth business. The team has rolled out digital wealth products online for -- precisely to meet the needs of the young 20-something year-old millennial or Gen Z investor. So I see North Asia liquidity remain pretty robust. Singapore depends whether we have more Sing dollar assets to absorb the M2. There's some government land sales. There's some government projects. There's new launches of property. The stock market is getting better. So let's see. I hope the liquidity in Sing dollars gets recycled. I think people are trying to build a private assets ecosystem in Asia as well. There's been private equity deals, certainly in Japan and some nascent venture and all that in China because of the AI and humanoid robots boom that we're seeing. So we see some interesting flows. There's a bit of the formal flow now back into China because the market has done so well. So I see that happening. But I don't know -- like every other of my peers, I do worry about the high valuations in the U.S. on these AI companies. We're very cognizant of not being caught up -- too caught up in that. But whilst we invest in AI ourselves, we're also cautious about the high valuations that we see. Yes, I think North Asia liquidity remain good. South, Southeast Asia, yes, large corporates are doing okay. The midsized SMEs are doing less okay. And people are saving more and spending less. But if they can recycle those assets, as I said, into the stock markets, into REITs, into more real assets, then hopefully, that sort of domino effect that the velocity of money picks up. The problem is the velocity of money hasn't been very high in Asia, right? That's the problem.
Operator: We'll move on to Melissa from Goldman.
Melissa Kuang: Just back on this that you're talking about liquidity and North Asia being a better area in terms of the liquidity. Do you think then in terms of DBS, the net new money coming in and also your deposit growth that you have been seeing can still be sustained from this year to the next? Also, you mentioned...
Tan Shan: Melissa, we're now #4 in Hong Kong, yes. We're the fourth largest bank in Hong Kong. So we've been doing very well in Hong Kong wealth. Our wealth centers in Queens Road Central and all that are doing well, and we are also growing in China onshore wealth as well. So as long as it's any of our 6 core Asian markets, we're happy. We're not Singapore only.
Melissa Kuang: Kay. And then just to clarify, earlier you said in terms of taking in deposits and putting in securities, you get roughly about 1% in terms of NIM or that's at least the base point at which you ideally do this kind of gapping scenario. Would you say the ROEs on this, it's roughly about 20% to 30% in doing this and versus like your book itself is about 17%.
Tan Shan: My treasurer tells me that ROE is 50%.
Melissa Kuang: 50%.
Tan Shan: Because of high credit.
Philip Fernandez: Yes. The risk rates are pretty low.
Sok Hui Chng: For government securities.
Philip Fernandez: For government securities. So if you're collecting deposits and deploying it, all you get is small risk charge.
Melissa Kuang: Okay, okay. So most of these that you do will mainly be gov securities and then for your other books, then you will kind of have a spread, right? Because if you look at your security book, there is a good spread between govies and corporate bonds as well.
Sok Hui Chng: Corporate bonds are done by [ GFM ].  The corporate treasury team doesn't take views on corporate bonds. So the corporate bonds are taken in the dealing room.  So more nimble,, they can respond.
Melissa Kuang: Okay. That's good. Then I have another question on tech and data centers exposure that you were saying that you've been growing. If we look at by geography others, it's now quite high, almost 19%, 20% of total loans. And it's been like only 16% in 2022 on the other category.
Tan Shan: Data centers is about $8 billion or $8.6 billion.
Melissa Kuang: Okay. No, I was talking about just in geography-wise, the other geography, like we are seeing Hong Kong, Greater China, Southeast Asia and others, and the other category has been growing quite fast, as well.
Shee Tse Koon: So I think that -- So as you know, the phenomenon [indiscernible] from the institutional bank analyst. We do see the data center phenomenon being one whereby it is growing in Southeast Asia, as you saw it, just not Singapore. We're seeing some in -- we're doing some in Thailand. We did some in Australia. Also U.S., we are participating in the growth in the U.S. lending  out of Singapore. As you know, the U.S. market itself has got quite a big development there. So the others would...
Melissa Kuang: Right. I was just wondering.
Philip Fernandez: We only do these very structured. These are heavy structured 15 years hyperscalers only.
Shee Tse Koon: There are triple net type leases. So all variable costs are passed on to that facility.
Melissa Kuang: Right, right. Okay. I just wanted to get that because in terms of that, you've been growing, right? And in terms of -- it's the biggest hike now, but what if we are down 5 years later in terms of asset quality, are we quite confident that it will be still okay in terms of growing this exposure [indiscernible].
Philip Fernandez: It's really the underlying offtaker that you see, Melissa because we believe that in the AI space itself, your big tech companies are the ones who are investing and are providing services because they have the ecosystem to have their customers take off their AI solutions. And they do need a fair bit of data center, which is why you're seeing so many deals being cut by all the hyperscalers. And these data centers that we are lending to are actually supplying to these hyperscalers where variable costs are passed on to them. So we're quite confident of that particular piece of portfolio. We don't go out to do the others one, let's say,  GPU as a service, whereby the customer base could be any corporates out there who are looking for an AI use case. Those are not the ones that we're in. So therefore, from a risk perspective, it's pretty much in line with what most of the TMT analyst says on who could be the AI winners. It's really those who already have the moat today in deploying AI solutions like the likes of Microsoft and what have you.
Melissa Kuang: Okay. Just lastly, I know it's too far away 2027. You've mentioned before that 2026 in terms of dividends step up $0.24, you're comfortable with that for next year. But in terms of 2027, now that we're a bit nearer there, do we have confidence to say that we can do it? Or we still have to wait and see?
Sok Hui Chng: I think you have to wait and see. Give us some time. Macro environment is still quite volatile.
Operator: Last question from Wee Kuang from CGS.
Wee Kuang Tay: Yes. Okay. I just wanted to ask, I think moving forward going to 2026 in your guidance outlook, you mentioned that there is a possibility of write-back in GPs. I just wanted to understand what is the guiding principle when you look at writing back GPs. How much are you -- how much do you allow itself to go below in terms of, I guess, management overlay or whatever the guiding principles that you may have?
Sok Hui Chng: I think we have to calibrate it based on the external environment at time. Remember, I told you overlays are also based on stress scenarios. We have been very prudent. We built up $1.8 billion during the COVID period, and we have actually not released that. So I think we do assess the external environment, and we'll take a call. Whatever it is, we'll kind of -- we think we have more than adequate buffers for us to be able to release some if the external environment is okay.
Wee Kuang Tay: Do you consider the current environment is stable? Because I'm just thinking out loud that I mean it has built up, even though, I guess, if you just look at it retrospectively, things have kind of been relatively stable, yes. So there is kind of enough that you have on your balance sheet to write back some.
Tan Shan: Look, it's definitely better than April 2. After Liberation Day, we took -- remember, we took [ 200 ] liberation day the tariffs, and we haven't released the COVID GP buildup yet. It depends. I think lower rates are benign for borrowers and for real estate and for most corporate borrowers and for retail borrowers as well. Where we still see some headwinds are in the consumer unsecured loan side. We're looking out for things like unemployment rates, et cetera. Also SME, they're not recovering yet. The larger corporates, the financial institutions, the high net worth families are okay, and they're doing very well. So it's a bit of a bifurcated recovery, if you will, right, unfortunately. So we remain quite prudent in our asset book. We tend to be -- we have target markets and we use a lot of data and cash flow analysis to make sure that our clients are okay. And I think we will stick to that discipline.
Operator: Just one follow-up question from Melissa.
Melissa Kuang: Just one follow-up. What is your exit NIM that you had this quarter? And also in terms of the HIBOR, has everything been factored in? And -- or should we see perhaps some minor lift from HIBOR moving up next quarter?
Tan Shan: The exit NIM in September was 1.95%, Melissa. October was 1.92% because of SORA.
Melissa Kuang: And next, will we see some benefit from HIBOR next quarter?
Tan Shan: Unlikely.
Operator: That's all the questions we have. Thanks, everyone. We'll speak to you next quarter.